Operator: Welcome to the Gibraltar conference call to discuss the First Quarter Results and the outlook for the remainder of 2008. We'll begin today's call with opening comments from Ken Houseknecht, Gibraltar's Vice President of Communications and Investor Relations. After the company has concluded its presentation, we will open the line to your questions. At this point, I will turn the call over to Mr. Houseknecht, you may proceed, sir.
Ken Houseknecht: Thank you, Serita, and welcome to Gibraltar's first quarter 2008 earnings conference call. Before we begin, I want to remind you that this call contains forward-looking statements about future financial results. Our actual results may differ materially as a result of factors over which Gibraltar has no control. These risk factors are detailed in the company's Form 10-K, which can be viewed on Gibraltar's Web site at www.gibraltar1.com. If you did not receive the news release on our first quarter results you can get a copy on our Web site. A set of the presentation slides that we will cover during this call is also available on our Web site. On our call this morning are Brian Lipke, our Chairman and CEO; Henning Kornbrekke our President and CEO; and Ken Smith, our CFO. Thank you for joining us. At this point, I'd like to turn the call over to Brian. Brian?
Brian Lipke: Thank you, Ken. Before I begin my prepared comments this morning, I'd like to welcome Ken Smith to his first quarterly call as the company's new CFO. Ken joined us in mid-March and as we said then, he has an extensive background helping to improve the operations and financial performance of publicly traded, diverse, international manufacturing companies. Experience, that will definitely help Gibraltar accelerate our strategic transformation, increase our profitability and enhance shareholder value. As an example of Ken's early contributions, the slides in our presentation format today is a suggestion from Ken that we hope will contribute to your understanding of both our quarterly results and the company overall. This morning I'm going to focus my comments on two main areas. First, I'll provide an overview of our first quarter activities and results, which Ken Smith and Henning will discuss in greater detail. And then after Ken and Henning's presentations I'll spend a few minutes updating our progress on some of the most important strategic initiatives that we have underway. In spite of the expected deterioration in volume levels in two of our primary markets with housing stocks down approximately 30% and automotive production in North America down 9% for the first quarter of 2007, our sales and net income improved compared to the year-ago period. Our improved performance is directly related to the series of actions undertaken during 2007 and continued into this year to cut costs and streamline our operations, which along with 2007 acquisition and divestiture activity position us for improved performance in the first quarter and the balance of the year. This improved operational platform should enhance our profit generating capability to a larger extent once the end markets we serve return to improved volume levels. In the quarter, our sales grew by 7% to $326 million. Our net – I'm sorry, our income from continuing operations was $7.1 million or $0.24 per share, up from a year ago. And our income from continuing operations before one-time charges was $8.1 million or $0.27 per share. Our earnings plus careful working capital management allowed us to pay down another $26 million in debt on top of the $65 million of debt we repaid in the fourth quarter. During our last quarterly call three months ago, we said that even though we expected difficult conditions would persist in two of our primary markets, we saw opportunities for improvement because of our steps that we took during the last year and first part of this year to diversify Gibraltar geographically, product and market wise. Even though our efforts are ongoing, we believe the improvement in our first quarter results in a weaker operating environment is evidence of the progress that we're making. These streamlining activities we completed in 2007 have lowered our costs, but the full impact of these improvements is camouflaged by lower volumes in both the housing and auto markets compared to the first quarter of 2007. Nonetheless, the impact of these actions is there and will contribute to improved profitability when volumes begin to rebound. So, that's a quick 50,000 foot overview of the first quarter. At this point, I'll turn the call over to Ken.
Ken Smith: Thank you, Brian and I'll continue the discussion with the consolidated results of Gibraltar summarized on slide three. On the top line, we turned in good results considering the difficult end market conditions that Brian described. Particularly strong contributors were the acquisitions made in 2007, which also increased the company's participation at end markets. They're away from the residential, construction and automotive market. Partially offsetting the incremental contribution of the acquisitions were the volume declines in the residential building and automotive end markets. There was a net increase in operating income over the first quarter of last year as we benefited from the incremental contributions of 2007's three acquisitions. Our businesses serving the automotive and residential building markets generally experience lower profitability on sales volume decreases. And earnings per share also increased fueled by an overall increase in operating income and a slightly lower effective tax rate. As Brian mentioned, excluding special charges this quarter, EPS was $0.27 a share. The special charges resulted from facility consolidation and separation cost. In our building products segment, we've combined the manufacturing of two facilities into one in California taking advantage of the synergies identified when we purchased the Noll business last year. Regarding free cash flow, the company had a nice quarter with cash generated in spite of a quarter when it had sequential increase in sales and related cash use to fund higher accounts receivable. I'll now refer to slide four, net income where I'll discuss the P&L from a different perspective. Henning will discuss the increase in the segment's operating income in later slides, so I'll add color on the larger differences between the periods, notably interest expense and income tax expense. Regarding interest expense, the increase primarily stemmed from higher average borrowings made after the first quarter 2007 for the acquisitions of Noll in April and Florence last August for which we borrowed funds for the aggregate cash purchase price of $180 million. Regarding the lower income tax expense we had an effective tax rate in Q1 2008 of 33% compared to 35.6% in Q1 2007. The reduced rate in the first quarter of 2008 included the benefits of the effective lower state apportionment taxes on the related net deferred liabilities. For the full year 2008, we expect the effects of the tax rate to approximate 36%. Moving to slide five, cash flow. The business has churned in a big improvement compared to the prior year quarter. Not only did the profitability maintain itself in more challenging end market conditions, but we had a big boost coming from lower working capital. Moving ahead to slide six, the balance sheet. Since September end 2007 while the company has had no acquisitions, it has used its free cash flow to pay down debt. In Q4, we paid down $65 million and the succeeding quarter here of 2008 at the start of Q1, the debt reduction was another $26 million yielding a significant reduction in the debt to cap of the company. Looking ahead, we expect to generate free cash during the balance of 2008, which will further reduce our borrowings and provide greater financial meanings to pursue profitable growth via strategic acquisitions. At this point, Henning will describe our segments' performance.
Henning Kornbrekke: Thanks, Ken. Our companywide gross margin of 17.1% and operating margin of 5.6% were largely unchanged from the first quarter 2007. Margin performance on balance was on target in spite of the lower unit volume and the result in large and shortfall experience in our strip steel business. Plans to address the strip steel volume issue are in place. Turning to slide seven, you can see that our building products segment had a double-digit first quarter sales increase to $229 million. The increase was a result of our three 2007 acquisitions as well as continued strength in the commercial and industrial building markets. They helped to offset much lower sales to the retail and new build housing markets. Excluding acquisitions, building product sales were down, a function of the approximately 60% decline in housing starts over the last two years and an even sharper downturn in some markets like Florida, California, Arizona and Nevada, places where Gibraltar has sizable operations. Gross margins for the segment were 20.8% flat with the first quarter of 2007. Gross margins have continued to be negatively affected by the unit volume declines in those businesses directly tied to housing starts, like USP structural connectors. However, improved gross margins in our other businesses have provided offsets as expected in our forecast. The operating margin was 9.1%, unchanged from the first quarter of 2007 consistent with gross margin performance. Looking at slide eight, our Processed Metals segment, its first quarter sales were slightly down from a year ago, largely result of lower volumes with automotive customers, but partially offset by much higher sales in the Copper Powder business. Its gross margins were 8.4%, down 1.1 percentage points from the year-ago quarter and the operating margin was 4.4%, down from 5.5% in the first quarter of 2007 driven by unit volume declines in our strip steel operations. At this point let me provide some perspective on our outlook for the balance of 2008, which is outlined on slide nine. Although discussed during our last quarterly call, the housing and auto markets have slowed even further. Our last quarter's call our forecast anticipated 965,000 single and multi-family housing starts in 2008, an auto build of $14 million and GDP growth of 1.5%. Now more than four months into the year with the housing slowdown lasting longer and going deeper, the economy contracting and oil hovering around $120 a barrel and with continued volatility in material costs particularly steel, we have scaled back some of those expectations. We now look for housing starts slightly below 900,000 units for the year and GDP growth of approximately 1%. At auto build outlook was already conservative and considered market share changes that we're not revising it. As we have noted before, our building products business that are most closely aligned with the new build housing markets will continue to experience below normal activity levels, but we have a reasonably good mix of businesses that provide participation in markets less impacted by housing starts, which have moderated the decline in sales and margins. Gibraltar's commercial building, industrial and international businesses are still growing though at a slower rate. Our initiatives to close and consolidate facilities further reduced SG&A and restructure our businesses are also helping us to maintain our profitability at the lower volumes. As Brian noted, we'll also continue to benefit from the contributions of our three most recent acquisitions, Dramex, Noll NorWesCo and Florence, which together added approximately $160 million of higher margin sales primarily serving the commercial industrial markets. In our processed metal products segment last year's consolidation of Buffalo area strip steel facilities, the sale of our Hubble assets, continued growth of our powdered metal operation in China and steady volumes at our North American powdered metal business are still helping to offset rapidly rising steel costs and lower volumes in our strip steel business resulting from a first quarter North American auto build that was down approximately 9% from 2007. Sharply higher fuel and energy costs are also exerting cost pressures on all our businesses. Turning to slide 10. In light of all these considerations, we still expect that our 2008 earnings per share from continuing operations will be in the range of $1.05 to $1.25 barring significant change in business conditions. As we move into the second and third quarters, which are Gibraltar's strongest periods, we expect to see a seasonal increase in activity even though sluggish markets will keep volumes well below normal levels. We'll also continue to be challenged with volatile material cost, particularly escalating steel costs. Effectively managing the spread between our costs and selling price in close concert with our customers remains a priority. Moving through the rest of the year, we will continue to benefit from our 2007 initiatives most of which are ongoing including our many lean projects, facility consolidations and the continued streamlining of our existing businesses, all of which is lowering our cost structure. Even in a difficult operating environment, we remain focused on holding or increasing our market share through new products, extended geographic coverage, deeper penetration with existing customers and entering new markets. At this point, I will turn the call back over to Brian.
Brian Lipke: Thanks, Henning. Before we open the call to any questions that any of you might have, let me make just a few closing comments. Over the past several years, we have taken a number of steps to transform Gibraltar with a clear objective of improving our core operating characteristics. Our specific goals include driving our margins higher, maximizing our cash flow to pay down debt and create additional acquisition capital along with optimizing our returns on invested capital. One way we have done this is by diversifying and broadening our business portfolio. In the last two and a half years, five of our eight acquisitions have been in the commercial building, industrial and international markets, areas that have performed well and helped to offset the slowdown in the residential housing market. Currently, approximately 40% of the sales in our building products segment come from the commercial and industrial markets. These are areas that are continuing to perform well and are targeted for future growth. We also continue to make progress streamlining our operations and lowering our cost structure. In the first quarter of this year, we closed or consolidated three more facilities in addition to the 11 we completed in 2007 and a number of additional actions are scheduled for the balance of this year. Even though the residential building market continues to operate well below its historic levels, with housing starts having fallen by nearly 60% over the last two and a half years and more in some regional markets, we expect to see a typical seasonal increase in activity as we move through the second and third quarters similar to the improvements we generated in 2007 in those same periods. In light of the rapid escalation in raw material costs, something that we do not see abating in the near term, we are managing our purchase and selling arrangements and inventory commitments with suppliers and customers in an effort to provide a consistent pattern of operating performance. The current operating environment is tough and it may even get tougher before it begins to level off and improve, but in spite of these difficult conditions we're managing our business to generate an improved level of performance in 2008 compared to last year. Longer term, our progress in this tough operating environment has clearly set the stage for record results when the markets we serve begin to move back towards more normal activity levels. That completes our prepared comments for this morning. At this point, we'd open the call up to any questions that any of you may have.
Operator: (Operator instructions) Your first question comes from the line of Michael Cox of Piper Jaffray. You may proceed.
Michael Cox – Piper Jaffray: Good morning. Congratulations on a very nice quarter.
Brian Lipke: Thank you.
Michael Cox – Piper Jaffray: My first question is on steel prices and the impact that that had in the quarter. I was wondering if you'd comment on any ability to pass along those price increases, maybe look at it by business line. And as you look to the balance of the year, you had mentioned that you're not seeing any abatement of commodity costs. Your ability to continue to pass along steel price increases or fuel charges if the case may be?
Brian Lipke: I kind of figured that was going to be a focus for this call this morning. So, I'm glad the first question breaks the ice. Let me take a look at it from a macro perspective. This country today, North America is producing somewhere around 105 million tons of steel a year. The country is consuming about 130 million tons a year, which means we are using more than we're producing. On top of that with the weak U.S. dollar that is having an impact on other countries of the world wanting to ship steel to the United States, all of which makes for a very tight supply situation. I think it's a fairly well known situation. I think most of the major customers out there are very well aware of what's happening out there. And in many cases I think the understanding is that this is a less of a pricing issue and more of an availability issue, making for a situation where there's going to be a realistic opportunity to continue to be able to pass on these price increases as they come along. I'd prefer not to get into too much detail relative to what we're doing in each of our segments primarily because that gets into more of a competitive situation and I really don't want to give our competitors, who I know are listening in on the call, too much insight into what we're going to be doing, but I can tell you that we are working directly with each and every one of our customers to keep them informed of the situation and to work with them to make sure that we're getting the supply that we need and from Gibraltar's perspective that we are maintaining our margins.
Michael Cox – Piper Jaffray: Okay. That's very helpful. My second question is within the building products group I was hoping you could comment maybe more directly on the DIY retail component of that segment. How is that holding up relative to your expectations?
Henning Kornbrekke: When you say DIY and we tend to look at residential building products and then we will separate it into commercial. If you look at our residential building products only, you would find that our sales are down 19%. That's just residential building products. Residential building products represents about 31% of our total sales. We find that on the Do It Yourself although I think they've moved away from that acronym, but I think that's really mostly addressing the repair and the remodel market. The repair and the remodel market we find is down not 30% but closer to 18%. We also believe that that's a market that will return to more normal levels sooner than the overall new build housing. I think we are working very closely with those very important customers and I think I personally remain fairly optimistic as we run through this year in that segment.
Michael Cox – Piper Jaffray: Okay. That's very helpful. My last question is on the international component of your business. You called out SCM as performing well in the quarter. I was wondering if you could just remind us as to what percentage of your total sales are outside of the U.S. today and any potential plans or intentions to expand (inaudible)?
Brian Lipke: 9% of our sales are outside of the U.S. What was your second question, I'm sorry?
Michael Cox – Piper Jaffray: Just any thoughts on expanding more aggressively outside of the U.S.?
Henning Kornbrekke: I think that Brian alluded to earlier. We're managing our business very closely. We know that we are in a very tough market. There are some outstanding opportunities out there and I think coming we were encouraged in the first quarter. We generated EBITDA about where we thought it would be. So, I think some of you commented, we'll continue to actively look at manage our company going forward.
Brian Lipke: The only thing I would add to that. We've established a pretty decent foothold in the European markets relative to building products and we established a foothold there for an obvious reason. We've got a good base of operations in the U.S. I think with our knowledge of both the U.S. market and now the European market as a result of having facilities there, where we see growth opportunities there and we think we know how to go after them and that clearly is part of our long-term plan.
Henning Kornbrekke: Yes. I'd also say we're also very encouraged with what we've done in China. That was basically a start up operation and I'd have to say that in fact, if anything it's ahead of target. I think that that is proving to come in above the expectation in the short period of time that we've had. So, I think we remain encouraged on our international investments that we've made.
Brian Lipke: Plus, having an operating facility in China, not just selling product there, that gives us an excellent vantage point to look at what's going on in the entire Chinese economy and ways that we can expand all of our businesses because clearly that economy definitely holds opportunities for building products. And what the number of companies that are in the manufacturing sector here in the U.S. who are locating facilities over there to produce products that will stay in that country to meet the growing demand. We're looking for steel processing opportunities as well.
Michael Cox – Piper Jaffray: That's great. Thank you very much.
Operator: And your next question comes the line of Mark Parr of Key Capital Bank. You may proceed.
Mark Parr – KeyBanc Capital Markets: Hi, Brian.
Brian Lipke: Good morning, Mark.
Mark Parr – KeyBanc Capital Markets: Hi, congratulations on the quarter. You guys seem like you're gaining momentum while the market dynamics are really weakening. So, I guess I had a couple of questions. First, I think, Henning, I think you had alluded to some things underway to try to address the volume weakness in steel processing?
Henning Kornbrekke: Yes.
Mark Parr – KeyBanc Capital Markets: Have you addressed that yet on the Q&A? I apologize if I missed that, but if you haven't, I'd love to get some more color on that.
Henning Kornbrekke: We haven't addressed it directly. I think Brian indicated we are careful about what we say because it is a competitive situation, but I think we've just relooked at that business, and we've got a brand new team in our strip steel business. They are very focused on our customers, very focused on quality, focused on going after market share. And we've got a very good product, we've got a streamlined two facilities in there. I think on a go-forward basis we remain optimistic. It's a good solid business with a good solid platform.
Mark Parr – KeyBanc Capital Markets: Yes, but I guess just in fairness though, you look at the way your strip business has performed and some of your public competitors businesses have also struggled to show improvements in profitability. And while the rest of the steel industry is looking at all time record profits and, even the commodity flat rolled distributor segment of the market is doing extremely well, not only in the March quarter, but in looking at the June quarter and the September quarter outlooks; looking at all time record, much higher than '04. I just wonder if you – I realize I know that you guys have good assets. I know you have good customers. I know that this has been – pardon my pun, a rock solid business for you guys for a long, long time. But I mean, how do you look at this divergence in financial performance relative to the rest of the industry?
Henning Kornbrekke: I think it's very simple. Brian has got some deep insights to this as well, but looking at it very analytically, we operate in a very specific niche. We are a processor in the middle. That's the first on this thing. We're focused only on strip steel, so some of the comparisons you make to other folks probably aren't relevant. Some of the other folks get more involved in service center business. We don't do that. We're just a strip steel producer. We believe we're the most effective, most efficient strip steel producer certainly in the U.S. and perhaps in the world. We have experienced in the first quarter a significant decrease in volume. We know where that came from and that, we believe, is internal and that's being addressed. And once we get back to the targets we've established, I think you'll see those margins float right back to where they were before.
Mark Parr – KeyBanc Capital Markets: All right. I appreciate that color. I just had one other question. And looking at the reduction in your inventories, given that we are seeing a pickup in raw material costs, could you talk about days of sales and inventory based on the new pricing that's out on the market?
Brian Lipke: Our targets on DSI's is 60 days, I think, when we last looked. Talking last night we were at 71 days, so we're not too far from it. When we started the process, we were up closer to 90. We did an outstanding job in taking our DSI's down. We'll continue managing the hell out of the DSI's going forward. We're programmed that way. It's part of the system and processes we use. Yes, we know steel pricings are going up, we've experienced that through the first quarter. We'll continue to manage that very closely.
Mark Parr – KeyBanc Capital Markets: Okay. Thanks, Henning. Thanks for all that color.
Henning Kornbrekke: Hi, Mark, one last thing relative to your question on our strip steel business. We took some pretty major steps during 2007 to consolidate those three strip facilities down into two. And while we took the majority of the cost hits for that during 2007 they are there and we have cut those costs out. The problem is as the volume has come down, it's almost completely camouflaged the positive impact that we gained from those consolidations. And as volume starts to pick back up that's when we'll see the margins go back up to we had predicted that they were going to be. And it's strictly a volume-driven issue at this time. If you understand the business well, you'll know that volume does have an impact on the business and we took those steps last year for a specific reason. We had very, very detailed financial targets and operational targets that were part of that consolidation. We've achieved them, but they've been camouflaged by temporary lower volume. And as we get volume back and as the auto industry comes up to a higher level of auto builds that business will be in a better shape.
Mark Parr – KeyBanc Capital Markets: Okay. Terrific. Thanks, Brian and it looks like the results of all your efforts are paying off. Your stocks are getting ready to open up on the day.
Brian Lipke: Good. Glad to hear it.
Operator: And your next question comes from the line of Peter Lisnic of Robert W. Baird. You may proceed.
Peter Lisnic – Robert W. Baird: Good morning, gentleman.
Brian Lipke: Good morning, Pete.
Peter Lisnic – Robert W. Baird: Brian, do you mind commenting on the actual volume decline in the strip business? Was it in line with the 9% decline in North American build?
Brian Lipke: No. We experienced a bigger decline and it really had to do with some what we would believe here at Corporate a misplaced strategy. We've made some changes in management. They're back on target working very closely with their customers. We feel very confident. In fact, we had an operations review with them last week. We feel comfortable that they're going to come right back on line. Our sales decline was more then the 9%, it was probably close in the area of 10.5%.
Henning Kornbrekke: Again, it's driven by a couple of things. One, going through a transition of this magnitude taking three facilities down into two is not a small undertaking and quite frankly we had a little bit of delivery performance that impacted us during the first quarter. We think we have gotten that behind us now and that's one of the things that's going to help us get volume.
Brian Lipke: We put some rather good business systems in place, they are going to help us manage the business more effectively going forward. So, we do feel very optimistic about the strip steel business. Again, I felt very good about the operations review we had last week. They're on target, they've identified already some of the gains that they've picked up. And I think you'll be seeing the results in the quarters ahead.
Peter Lisnic – Robert W. Baird: Okay. Thank you for that. And if I turn to the building products business, nice improvement in profitability there if you take out or at least I'm assuming that the charges or the restructuring charges there. Can you maybe talk about the business's ex-acquisitions and give us a sense as to what the maybe the structural profitability improvement might be in the core businesses ex- acquisitions?
Henning Kornbrekke: I think one of the analyses that we did and this helps understand where our profits are coming from. If we just look at residential building products itself for the quarter, the gross margins were 12.8%. If we look at – and again that represented 31% of our total sales. If we look at what we call industrial and commercial participation, we would find there the gross margin is a little bit north of 25%. So, inside of that tells a large part of the story. Recognizing residential building products is down another 19%, so the volume declines in residential building products, obviously they're driving the margins down significantly. And again, they're most impacted at the gross margin line and that's why I gave you that analysis.
Peter Lisnic – Robert W. Baird: Okay. That is helpful.
Henning Kornbrekke: But I would also say as those residential buildings products come up, they come up very much in line with the margins we see in our commercial industrial businesses, just to give you a perspective.
Peter Lisnic – Robert W. Baird: Okay. And just to be clear, that 31% is both new home construction and remodel?
Henning Kornbrekke: Yes. What I did I just took those businesses that primarily service the residential building products businesses, added them together and it represents about 31%.
Peter Lisnic – Robert W. Baird: Okay. And then are you at all concerned about the non-residential construction side? If you're seeing that kind of margin compression in residential and what the consensus believes about non- resi coming our way, have you done or do you feel comfortable that you can maintain margin there or should we be worried that you see those 25% gross margins come down?
Henning Kornbrekke: I think the gross margins are relatively good gross margins for those businesses. We don't see the volatility in most of those businesses that we would in some of the others. Market swings tend not to be a significant particularly the way we participate.
Peter Lisnic – Robert W. Baird: Okay. And do you have a forecast for non-resi that you're working with to get to the $1.05, $1.25?
Henning Kornbrekke: It's all factored into our full year forecast.
Peter Lisnic – Robert W. Baird: Okay. And just last question, a cosmetic question. The $1.05 to $1.25 charges or restructuring dollars included in that?
Henning Kornbrekke: I think at this point it excludes that. And I think we said that, although as we look through the rest of the year, we don't believe there's going to be anything really significant in additional restructuring charges. Most of what we've talked about is in there. I know right now we are going through an analysis of closing one of our large plants and we know what the cost is. Some of it might get spread into this year. Most of it might spill into next year. So, we don't anticipate large restructuring charges going forward through rest of the year.
Peter Lisnic – Robert W. Baird: Okay. Thank you very much and nice quarter.
Brian Lipke: The other part to that explanation is that in several of our building products businesses we're looking at how we get our products out into the marketplace. Historically, we've used a number of small rented facilities that we use as distribution centers. We will produce products and we'll ship it out to those facilities. We're relooking at that. We're not sure actually, I should say we're pretty sure we don't want to continue to do that and a lot of the activity relative to consolidating facilities is coming from that.
Henning Kornbrekke: And there's no restructuring costs associated with that. In fact there's a reduction in SG&A because what was happening is as these leases are expiring, we're walking away from them. And in those cases where we want to walk away sooner, we're subletting.
Ken Smith: And then the administrative overhead goes away.
Henning Kornbrekke: So, the SG&A is coming. We're very sensitive to the SG&A costs. And I think Brian maybe alluded to it earlier. We really view our business on a global basis where we are focused on being very competitive and we do it on a global basis, just to understand what our head set is.
Peter Lisnic – Robert W. Baird: Okay. Got it. Thanks for the color again.
Operator: And your next question comes from the line of Marty Pollack of NWQ Investment Management. You may proceed.
Marty Pollack – NWQ Investment Management: Yes, just if I may, a couple items. One, in terms of your forecast when you look at, just as you described your outlook. The ABI, Architecture Builders Index, seems to suggest later in the year we should be seeing further decline in the non-residential area. Just wondering if you have some thoughts in terms of just looking forward, whether your business is really forecasting anything like that? And secondly, just on debt reduction, working capital was a source in Q1, Q2, Q3 you have the seasonal strength. Are you looking for a use of working capital at that point to mitigate your ability to reduce debt further? And I'm just wondering whether in fourth quarter we should expect as it usually is just a fairly weak quarter into the year?
Brian Lipke: I'll take the first part of your question and then Ken and Henning can jump in on the second one. When we look at the commercial side of the business when we looked at the year starting out, we felt that was going to be flat to maybe slightly down. And we still figured that's the way it's going to play out.
Ken Smith: I think in fairness and I know the index that you're referring to, but our participation is not strongly in that specific market segment. We tend to focus more on we call it commercial, but it's more on the industrial side and more on the light commercial. And I think when we looked, we had it, we would still expect the segments that we are in looks like they are going to continue to grow modestly. We're thinking 1% to 2% probably. And again when we did our forecast, I think we tended to (inaudible) on the conservative side. So, the answer to your question, we're comfortable with what we forecasted. And yes, we do consider those market forecasts.
Henning Kornbrekke: Just to give you a little bit of color on that relative to our Amoco business, for example. One of their biggest products is bar grading, which is used in heavy industrial plant facilities, particularly oil and gas and just general heavy manufacturing. And with the lower dollar and people's ability to export going up, we've seen very good activity levels from those customers and from those markets.
Brian Lipke: And don't forget the energy market happens to be very high right now and so when you look at that specific niche in the market, I guess it's fair to assume that we're going to see some growth. They are putting out more venues to explore for other – that market I think is going to be fairly stable at worst and probably a little bit of growth. Again, we tended to be conservative going through the year.
Henning Kornbrekke: And two, it's important to point out that with the Florence acquisition for example, they're really not related to the Do It Yourself market. They're really not related to the residential housing starts. In all they are driven by a total different set of operational different set of market characteristics.
Brian Lipke: They're very closely tied into a transformation strategy that we believe is very realistic and they continue to follow that profile.
Henning Kornbrekke: A transformation strategy and the markets that they serve.
Ken Smith: And regarding your second question about cash flow and debt levels in the next three quarters, given the seasonal strength that we're expecting for particularly second quarter, third quarter, there'll be probably a greater investment. I'm expecting a greater investment in working capital to support the higher sales and inventory levels that goes with that seasonal strength. So, that level will probably come down a little bit by the end of September and then as we get into the fourth quarter, which is not as strong as our mid-year sales volumes, there should be quite a bit of cash flow in the fourth quarter. So, by the end of the year would be quite comfortably down from where we are today at the end of March.
Marty Pollack – NWQ Investment Management: Just one last question. Did you suggest the build rate stays at $14 million you forecast?
Ken Smith: For auto? Yes
Marty Pollack – NWQ Investment Management: I guess it seems that we're seeing the most recent sales suggest that sales have broken decisively through $15 million. I don't know whether it sounds like your forecast is that you would expect that to be a snap back so that your build rate in your forecast should go down. Is that the assumption?
Henning Kornbrekke: I think no, I think what's happening is we see in the automobile industry is that there is a change in the build rate. I think the energy I'll call it crisis or energy changes are encouraging automobile manufacturers to manufacture different vehicles. And again, since we participate in the front end many of the customers that we deal with are going to start ramping up new vehicles that meet new requirements, and again, that for the most part is going to drive our supply into that industry.
Marty Pollack – NWQ Investment Management: But your forecast itself of $14 million build rate is the same as before even though it seems industry conditions have deteriorated?
Henning Kornbrekke: Fourteen was very conservative, we are into it.
Brian Lipke: If you remember, Marty, or maybe you don't, but I do. At the time we came out with 14, most of the other estimates we're between $14.5 million and $15 million and that was from some of the car companies themselves. But we just wanted to build our budgets and our cost structure around maybe a little bit more conservative position than was thought to be the case at that time. But I think $14 million now is probably a very realistic number for the year. It still may be a little on the conservative side, but realistic even in spite of the recent announcements by the auto companies.
Marty Pollack – NWQ Investment Management: Okay. Thank you.
Operator: And your next question comes from the line of Yvonne Varano of Jefferies and Company. You may proceed.
Yvonne Varano – Jefferies & Co.: Thanks. Can you just tell me if you are having any difficulty getting steel?
Brian Lipke: We're getting all the steel that we need. We wish delivery performance was a little bit better, although I've to say it's gotten better in the last month to six, eight weeks. So, no problem getting what we need and delivery performance is improving.
Yvonne Varano – Jefferies & Co.: And I know you've traditionally sourced domestically. Anything you are seeing that's attractive from overseas?
Brian Lipke: Well, historically, Yvonne, about 10% to 15% of our purchases come from outside of the United States, but right now import prices are above what we would be paying here domestically in most cases, driven by the fact that the U.S. dollar is pretty weak and there's strong demand in other parts of the world for the available tonnage.
Henning Kornbrekke: The only part we source overseas has been the very light gauge material that we use in the building products business. Many of the U.S. mills preferred not to run those light gauges. Again, we continue to purchase that way.
Brian Lipke: Plus, a number of our building products businesses are located in coastal areas, which makes it more advantageous to buy that way.
Yvonne Varano – Jefferies & Co.: Sure. I guess even with the U.S. prices coming up to what they're now quoting, they're still below the imports?
Brian Lipke: Yes.
Yvonne Varano – Jefferies & Co.: Okay. And then I know that you've talked a lot about the debt reduction this year. Acquisitions have been a focus in the past, but doesn't seem so much this year. Can you comment on what you might be seeing in the pipeline there?
Brian Lipke: Well, for the record, we have not turned our back on the acquisition market on a long-term basis. Short term, knowing that we're going to be facing some pretty strong macro headwinds, we've just taken a little bit more conservative approach to managing the business. We are continuing, I can tell you, to look at acquisition opportunities. And as we bring our debt to cap down and as we free up more cash we are doing that both to manage well and conservatively during these tough times, but also to position us to be able to take advantage if and when some really good opportunities come along. And we expect that they will before the year is out. We've got a number of different situations that we are reviewing right at this point.
Henning Kornbrekke: I think if you look at us closely, I think you would assume you would conclude that we've done a good job in restructuring the company. We've got a good core set of businesses right now. We're postured to continue to grow most both the top line and bottom line and our strategy in that area really hasn't changed.
Brian Lipke: Well, actually, one other things that we've discussed even though sales are up, we've got a lot of available capacity in the business today and we estimate that we've got somewhere around $1.6 billion worth of sales capacity within the business today as it exists. So, that gives us some growth opportunity when the markets pick up and then acquisitions will filter in to help us continue to grow the business.
Yvonne Varano – Jefferies & Co.: Sure. Any comment on the pricing you might be seeing for potential acquisitions?
Brian Lipke: Well, clearly as earnings performance has come down and with the current capital constraints, evaluation models have also come down.
Yvonne Varano – Jefferies & Co.: Great. Thanks very much.
Brian Lipke: Welcome.
Operator: And your next question comes from the line of Leo Larking with Standard and Poor's. You may proceed.
Leo Larkin – Standard & Poor's: Good morning. Could you just remind us what CapEx and DD&A will be for 2008?
Ken Smith: We're expecting CapEx somewhere in the low 20s.
Brian Lipke: I think we did a forecast yesterday and we're probably – I'd expect it's at or below 20. I think we concluded 21 to 22. The 21 to 22 includes some investment in some systems which we think are critical for the continued improvement in the efficiencies of the business going forward.
Leo Larkin – Standard & Poor's: And DD&A?
Ken Smith: $35 million.
Leo Larkin – Standard & Poor's: One other question. Are you seeing in the residential area are you gaining any share at the expense of your smaller, less well capitalized competitors that you can tell?
Brian Lipke: The reality is that the smaller capitalized competitors are exiting the businesses. They don't really have the cash flow to support their positions. I guess the answer there is, yes. We have had discussions with our customers both wholesale and retail and clearly that's an outcome of this downturn that we've gone through, which is not unusual.
Leo Larkin – Standard & Poor's: Okay. Thank you.
Henning Kornbrekke: And plus the major customers in this area really don't want to do business with small regional players. They're looking for customers who can bring a broad and diversified product line to them on a national basis.
Brian Lipke: Financial strength means a lot because when you have the smaller guys, they could stop a supplier and then supply becomes an issue, and most of our customers couldn't tolerate that.
Leo Larkin – Standard & Poor's: Okay. Thanks very much.
Operator: Your next question comes from the line of Sal Tharani of Goldman Sachs. You may proceed.
Sal Tharani – Goldman Sachs: Good morning, gentlemen.
Brian Lipke: Good morning.
Henning Kornbrekke: Good morning, Sal.
Sal Tharani – Goldman Sachs: Can you remind us of your seasonal patterns? How do quarters behave generally?
Brian Lipke: Yes, generally the first and the fourth are the weakest and the second and third are the strongest.
Sal Tharani – Goldman Sachs: Great. And did I understand correctly even at that the hot-rolled price we're hearing of $1,000 on the domestic mills imports are still expensive to bring in?
Henning Kornbrekke: Yes, I think on the analysis we did and of course, energy costs are really driving part of this. The last analysis we did was the transportation costs from the Far East are driven up to 12%, which is an incredible number. And I think what the other dynamics that are impacting steel prices around the world that it is more expensive to bring it in from offshore considering the U.S. dollar and all of the other considerations.
Brian Lipke: Yes, the current prices are well north of $1,000 a ton; maybe $1,100 a ton and even with that foreign is still more expensive, although the gap has closed.
Sal Tharani – Goldman Sachs: Do you think that service centers like yourself would be willing to – unless the prices go –?
Henning Kornbrekke: Sal, one thing real quick. We're not a service center.
Sal Tharani – Goldman Sachs: I'm sorry, a industrial company like yourself.
Henning Kornbrekke: There's a difference, I think. The service centers have very different characteristics. We're a steel processor. We do have a number of higher value-added opportunities that we provide to our customer that a service center never would. The Hubble operation we had, which in fact we sold, that was a service center, that was a pure service center. And the reason we sold it is because it didn't fit in with our overall portfolio of objectives for our business.
Sal Tharani – Goldman Sachs: Okay. The question is would you be, at this price level, be willing to stick your neck out and buy something if you get let's say $50, $75 cheaper offer from a steel trader?
Henning Kornbrekke: Brian would say we've never really speculated in steel. We manage that part of the business very, very closely and we continue to do that. I think we're unlikely to speculate and buy ahead. I think this period of extreme volatility would in fact dissuade you from ever doing that.
Sal Tharani – Goldman Sachs: I mean the question was – what I wanted to understand is that at $1,100 a ton with a four month delivery in the import market generally, are processors like yourself willing to go out and order imports even if they get an offer of $50 or $60 a ton less than the domestic market?
Henning Kornbrekke: Well, Sal, I think the factor here is that it's just not available. Today, with the transparency in pricing, the ability to go out there and find this one shot deal, I think has maybe not been eliminated, but it's been substantially reduced. And we think companies that earn their profitability based on the value that they add to steel are going to be well served in these markets. But the idea that you're going to be able to buy smarter, better, be more clever than somebody else at one point in time that may have been true. I don't know today that that's really the case. In any event, our focus is on turning our inventories over as fast as we possibly can and that's our focus. That way, regardless of which way steel prices go up or down at any point in time, the period that we have to react to is shortened by the proportionate to how fast we turn our inventories over. And that's our approach to running the business.
Sal Tharani – Goldman Sachs: What's your target inventory turn by the way?
Brian Lipke: 60 DSI's.
Henning Kornbrekke: So, that's six times. It's about six turns. Although particularly with the escalating price, DSI is a better way to look at inventory.
Brian Lipke: Again, recognize and I think we all understand this well. The steel industry on the supply side has gone through some massive consolidations. Back 10 years ago, we probably would have discussions of, I don't know, maybe 15 or 20 mills. Today we have discussions with 4 or 5.
Henning Kornbrekke: There used to be 15 or 20.
Brian Lipke: Used to be in 5 or 20. I mean in a nutshell, that's the answer.
Sal Tharani – Goldman Sachs: Are you seeing any on your building commercial building products any signs that some projects could be starting to get delayed because of the higher prices?
Brian Lipke: No. In fact if anything, we're starting to I guess the feeling is that we talked about this yesterday. It looks like we believe the market is starting to see a bottom and we start to see some advanced activity in the building market, which we are encouraged by.
Sal Tharani – Goldman Sachs: Thank you very much.
Operator: An your next question comes from the line of Michael Cox of Piper Jaffray. You may proceed.
Michael Cox – Piper Jaffray: Just one quick follow up question if I could. I was wondering if you could provide us with the acquisitions added to SG&A in the quarter. I'm just trying to get a sense for what the organic likely decline I guess in SG&A was?
Brian Lipke: Yes, we're still going from sorting the whole thing out, but in general just the acquisitions themselves, the SG&A was probably closer to 12%, primarily driven by one of them. Again, I give credit to the operating divisions. I know in two of them they've been pulling out SG&A because there were some real synergies in there. And I think in one of them we've realized many of the synergies already. The other business, which is a little bit different, they're more of an engineered product. They have a full engineering staff and they would typically carry higher SG&A, but their margins would certainly support it. So, I think to that extent and looking at the total Gibraltar SG&A it picks it up a little bit, but not a lot. But the value added that the business provides certainly justifies it. I don't know if I answered your question.
Michael Cox – Piper Jaffray: I think so. I just want to make sure I understand.
Brian Lipke: I think the net/net is if you look at our acquisition activity last year, our percent SG&A was went up slightly because of one of the acquisitions, because of the nature of their business.
Henning Kornbrekke: Yes, the largest of the acquisitions because it is a much higher value and because they do genuine engineering work that did carry a little bit higher SG&A. We tend to move the total up a little bit.
Michael Cox – Piper Jaffray: Okay. So, is it fair to say that, I guess, on an organic basis or an ex-acquisition that SG&A would be flat or down slightly?
Brian Lipke: Yes.
Michael Cox – Piper Jaffray: On a dollar basis?
Brian Lipke: Yes.
Michael Cox – Piper Jaffray: Okay. Great. Thank you very much.
Brian Lipke: You're welcome.
Operator: (Operator instructions) Your next question comes from the line of Alex Ryson of Luxor Capital [ph]. You may proceed.
Alex Ryson – Luxor Capital: Hi, guys. Thanks for taking my question. Just a question on the inventory and how that actually all flows through. Is there any kind of one time FIFO inventory gains just due to the rising cost of steel that maybe helped out your margin for the quarter?
Brian Lipke: No.
Alex Ryson – Luxor Capital: Okay. How does that all flow through? I mean should we expect that in the future or how should I think about just the value of the inventory and what you're selling it at?
Brian Lipke: Yes, our target is 60 days. Again we measure DSI's and if we're paying higher prices for materials, particularly steel and right now the increase is in the form of surcharges, we pass those surcharges on to the customers. And so we would expect on that basis there would be no change in the DSI calculation.
Alex Ryson – Luxor Capital: Okay. So, there should be really no effect on the margins then as steel rises?
Brian Lipke: No.
Alex Ryson – Luxor Capital: Okay. All right. That's helpful. And I joined a little bit late, so you may have answered this already, but do you guys expect any of the recent strikes at the auto plants to affect volumes incrementally at all or are you still pretty conservative with your projections?
Brian Lipke: I think we believe we're conservative with our projections. I don't think there are a lot of people talking about 14 million unit built for the year. So, I think that's a conservative number.
Alex Ryson – Luxor Capital: Okay. That's great. And then just a final question. I know you guys have been in debt pay down mode, but it looks like you guys are around four times levered. Is there any sort of issue with covenants coming into the four and a quarter level or are you guys pretty comfortable with your leverage?
Henning Kornbrekke: We're a bit under four on our leverage and I'm anticipating as we go through the sequential quarters from here to the end of the year that we'll improve on it and get more breathing room.
Alex Ryson – Luxor Capital: Okay. So, you guys don't see any sort of issue running up against the covenant level?
Brian Lipke: No, not at all.
Alex Ryson – Luxor Capital: Okay. Thanks a lot, guys.
Operator: Your last question comes from the line of James Crea of Marblegate [ph]. You may proceed.
James Crea – Marblegate: Hi. I just had a quick question expanding on the issue with the steel. Can you talk a little bit about we obviously saw just such a rapid escalation in the first quarter and I know you guys have talked about the 60 DSI. Should we assume that most of the big increase in steel prices hasn't run through the P&L yet or have we already seen the impact of that of running through the COGS line?
Brian Lipke: It seems to vary by business. We believe that there's more to come in the second half of the year, but it's remained very volatile. Whether it will stay at those levels through the second half of the year, we really are not certain of and most of it's coming in the form of surcharges and the surcharges we have been passing on directly to our customers.
James Crea – Marblegate: Okay. So, in other words the way to think about it is if you do have to raise prices there's a –?
Brian Lipke: Adding a surcharge is a little different maybe semantics. It's a little different than increasing prices, but we've been passing the surcharges on to customers, and we've sat down with our customers and we walked them through the whole process.
James Crea – Marblegate: Got it. That's all I had. Thank you.
Operator: At this time, we have no further questions in the queue. I would like to turn the call over to Brian Lipke for closing remarks.
Brian Lipke: Okay. Well, thank you for participating in our call today. Thanks for all the great questions. I hope it's becoming clearer to everyone that we do have a very clear focus on what we're trying to do to improve the operating performance of the business and that all of the actions that we're undertaking will in the short term have a positive impact, but in the long term help us to significantly improve the core operating characteristics of the business and improve shareholder value. We look forward to talking to you again in three months. Thanks.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect.